Operator: Good day, everyone. Thank you for standing by. Welcome to Adeia's Fourth Quarter 2023 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the call will be opened for questions. I would now like to turn the call over to Chris Chaney, Vice President and Investor Relations for Adeia. Chris, please go ahead.
Chris Chaney: Good afternoon, everyone. Thank you for joining us as we share with you details of our fourth quarter 2023 financial results. With me today on the call are Paul Davis, our President and CEO; and Keith Jones, our CFO. Paul will share with you some general observations regarding our fourth quarter. And then Keith will give further details on our financial results and guidance. We will then conclude with a question-and-answer period. In addition to today's earnings release, there is an earnings presentation, which you can access along with the webcast in the IR portion of our website. Before turning the call over to Paul, I would like to provide a few reminders. First, today's discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs, and therefore subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors section in our SEC filings, including our annual report on Form 10-K. Please note that the Company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. To enhance and understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have, therefore chosen to provide this information to enable you to perform comparisons of our operating results as we do internally. We have provided reconciliations of these non-GAAP measures to the most directly comparable GAAP measures in the earnings release, the earnings presentation and on the Investor Relations section of our website. A recording of this conference call will be available on the Investor Relations website at adeia.com. Now I'd like to turn the call over to our CEO, Paul Davis.
Paul Davis: Thank you, Chris, and thank you, everyone, for joining us today. We had a great year in 2023, our first full-year as a standalone company. I'm looking forward to sharing with you our results and progress we made in 2023 and our outlook for 2024. But before I do that, I would like to provide a review of our fourth quarter. With the continued momentum throughout the year, we signed eight agreements in the fourth quarter, represented by customers across our social media, Pay-TV and Consumer Electronics verticals. This consisted of two new agreements and six renewals. We are particularly excited about our new license agreement with a leading international social media company. This further validates the strength of our media portfolio across social media platforms. Additionally, our long history of success within the Pay-TV market was further enhanced by the addition of a new agreement with Breezeline, a large cable operator in the United States. Within Consumer Electronics, we are pleased to have renewed and extended our relationship with Funai a global manufacturer of connected TVs. We delivered strong financial results in the fourth quarter with revenue of $87 million and adjusted EBITDA of $54 million. With our significant cash flow generation, we paid down $29 million of our debt in the fourth quarter as we continue to deleverage our balance sheet. We also further strengthened our executive team, with the appointment of Joe Guiliano as our Chief Intellectual Property Officer. Joe will primarily be responsible for driving our strategy and growth of our patent portfolios. Joe has worked with us for decades as our lead outside IP counsel for the media business. Over his 30-plus year career, he is known for his proactive strategies and foresight leading to innovative business-centered solutions. I am very happy Joe has joined our team. As we look back on 2023, we had great success in deal execution. During the year, we signed 32 deals across multiple verticals. We added five new logos during the course of the year with Western Digital, Kioxia, DEZn and Breezeline, as well as the international social media company we signed in the fourth quarter. The Western Digital and Kioxia deals solidify our strong position with all the top memory companies, and further validate the value of our hybrid bonding technology in the memory market. These important deals will contribute significantly towards our goal of generating $100 million in annual semiconductor revenue. Samsung, a repeat customer across our media and semiconductor businesses renewed its license to our media portfolio for use in mobile devices. Cox, Verizon and Altice all top 10 Pay-TV operators in the U.S. signed renewals to our media portfolio, again, proving the value of our media portfolio and the longevity of our leading innovations in Pay-TV. The deals we signed with DEZn and Starz are an important step forward as we build momentum in OTT. OTT is an exciting growth opportunity for us as it is a large and expanding market. We expect our continued penetration in OTT to offset anticipated Pay-TV declines and become a significant revenue contributor for us in the coming years. In addition, our investment in R&D is producing results. We made excellent progress growing our portfolio of patent assets, a key objective post separation and a proof point of our continued focus on innovation and technology development. Our goal was to grow our portfolio 10% in 2023. I am happy to report we exceeded this goal, growing over 11% for the year with a record number of new original patent filings. We have made key strategic investments in OTT, Pay-TV, e-commerce, Ad-tech and Semiconductors. These initiatives are fundamental to fueling our long-term growth. In 2023, we also achieved our goal of filling critical executive and board positions. Over the past year, we have added a Chief People Officer, Chief Corporate Development Officer and a Chief Intellectual Property Officer. In addition, we expanded our Board with two new highly qualified independent directors. Having these roles filled with highly talented individuals, positions the organization well for further growth. I would like to thank our employees for their contributions and tremendous accomplishments that made 2023 a success. With the successful 2023 behind us, I would now like to share with you our vision for 2024. This year, we will invest in the business to support our plans for growth in our targeted markets. We will be adding R&D resources to expand both our Media and Semiconductor portfolios. We will also be making further investments this year in our People and Infrastructure to support increased business development and sales activities. These investments will position us to take advantage of the growth opportunities in front of us. Long term, our target remains achieving $500 million in annual revenue. To do this, we have two primary objectives. First, to maintain our recurring revenue base by signing renewals with current customers. And second, to add additional revenue streams by further penetrating large and growing markets such as OTT and semiconductors. We are also positioning ourselves for success in adjacent markets, such as Ad-tech, automotive, e-commerce, gaming, music streaming and sports gambling. To do this, it is important that we continue to make investments to enhance our patent portfolio and further supplement the sales efforts to maximize opportunities. We are making great progress expanding our pipeline of opportunities, particularly in OTT, semiconductors and adjacent verticals. Our increased commitment to R&D for portfolio expansion and an additional infrastructure to support increased sales activities will augment our efforts. Our large funnel of opportunities is being matched with our IP portfolio development to form a pipeline of business opportunities that will continue to grow. As we further expand our IP portfolio with additional filings this year, so will our opportunity pipeline. As we continue to make investments in our business and expand our pipeline of opportunities, we will also maintain our capital allocation strategy. Our proven IP licensing business model is highly cash generative, allowing us to continue to deleverage our balance sheet with accelerated principal debt payments. Our R&D investments and portfolio growth embed us within the industries we serve. And being pioneers, incubators and evangelis of next-generation technologies is who we are at our core. Our R&D teams and business leaders develop partnerships with the ecosystem's core to our strategy. These partnerships are key to focusing our IP expansion efforts in areas that will drive future revenue growth. We believe it is important to be at the forefront of the latest developments in our key end markets and partnering with the ecosystem demonstrates our commitment and enables us to anticipate developing trends. Our semiconductor and media teams are deeply involved through their participation at key industry conferences, and the publication of research and thought leadership pieces in trending subject matters. Additionally, we hold leadership positions in prominent industry organizations. For example, our semiconductor team presented on hybrid bonding at ECTC in Orlando and a member of our executive team is a Board member of EvoNexus, a technology start-up incubator. Our media R&D team is similarly active, especially in trends impacting our target verticals, such as OTT, consumer electronics, social media, e-commerce, ad-tech and automotive. In addition to numerous white papers and thought leadership logs, you can find on our website, our media R&D team presented technical research at many conferences throughout the year. At Augmented World Expo, we delivered a technical presentation on AI and Spatial Computing. At the SMPTE Media Technology Summit, we presented our paper on novel methods of personalized ranking and recommendation systems using a Dynamic Queuing Approach. We also showed a demo of our prototype that greatly simplifies live shopping experiences. Members of our media team also serve on numerous leadership positions with IEEE and other organizations and have also received rewards for their pioneering research. I'm extremely proud of the recognized leadership positions of so many of our Adeia employees. Their participation not only provides us with key insights into what problems the industries need to solve, but often leads to new customer engagements and partnerships within the ecosystem. Before I turn the call over to Keith, I want to touch on one of our key new initiatives for 2024. Our semiconductor team's mission is to solve today's problems to enable tomorrow's products. And there's no debate that the primary problem facing the industry today is overcoming the challenges related to Moore's Law. Until now, Adeia's approach to overcoming these challenges have centered on our hybrid bonding and advanced processing node technologies. These will continue to be important technologies to solving this problem. However, as we and other experts have come to realize, process-related solutions will only advance the industry so far. Further innovation requires a more holistic approach, one in which existing and future advanced processing technologies serve as a base for advancement and are then simultaneously optimized for both design and system perspectives to maximize efficiency and reduce cost. This holistic approach is commonly referred to as co-optimization and it's key to moving beyond Moore's Law. With that in mind, this year, we are launching a co-optimization initiative to expand the value proposition of our existing and future innovative solutions to our customers, particularly in the logic space by making them more efficient, easier to implement and more cost effective. We are uniquely positioned to capitalize on this trend with a blend of transformative technologies, recognized thought leadership, deep domain expertise and engineering experience. We employ some of the most prolific inventors in the world, which puts us in a powerful position to continue to deliver impactful innovations and expand our addressable market. With that, I would like to now turn the call over to Keith for a review of our fourth quarter financial results and our 2024 guidance.
Keith Jones: Thank you, Paul. I am pleased to be speaking with you today to share details of our fourth quarter 2023 financial results. During the fourth quarter, we delivered revenue of $86.9 million, lining our 2023 annual revenue near the midpoint of our guidance range. Our strong revenue was driven by the execution of eight license agreements in the quarter, including a new agreement with a leading international social media company, and a new agreement with Breezeline, a Pay-TV provider. Now I would like to discuss our operating expenses, for which I will be referring to non-GAAP numbers only. For the fourth quarter, operating expenses were $33.2 million, an increase of $2.1 million or 7% from the prior quarter. Research and development expenses increased $554,000 or 4% from the prior quarter. R&D expenses have grown through the course of the year as we look to increase our commitment to fueling our innovation engine. It is this commitment to R&D, which propels our future revenue growth for both the media and semiconductor markets. Most notably, we increased our investments in OTT, adjacent media markets and our semiconductor business, all key revenue growth drivers for us. Selling, general and administrative expenses increased $1.6 million or 10% from the prior quarter, primarily due to higher spending to support growth initiatives in the OTT and adjacent media markets. Litigation expense was $2.2 million, flat from the prior quarter. Interest expense during the fourth quarter was $15.5 million, a decrease of $222,000 from the prior quarter amount due to our continued debt repayments resulting in lower principal balances. Our current effective interest rate, which includes amortization of debt issuance costs, remained relatively unchanged at approximately 9.9%. Other income was $1.6 million and was primarily related to interest income recognized on revenue agreements with long-term billing structures under ASC 606, and due to interest earned on our cash and investment portfolio. Our adjusted EBITDA for the fourth quarter was $54.1 million, reflecting an adjusted EBITDA margin of 62%. Depreciation expense for the fourth quarter was $388,000. Our non-GAAP income tax rate remained at 23% for the quarter. Our income tax expense consists primarily of Federal and State domestic taxes as well as Korean withholding tax. Now for a few details on the balance sheet. We ended the fourth quarter with $83.6 million in cash, cash equivalents and marketable securities and generated $39.4 million in cash from operations. Additionally, we made $29.1 million in principal payments on our debt in the fourth quarter and ended the year with a term loan balance of $601.3 million. In 2023, we repaid $148 million of our debt, utilizing 99% of our free cash flow generation for the year on debt repayments. In addition to these payments in February 2024, we have made an accelerated payment of $30 million, further reducing our term loan balance to $570.3 million as of today. This significant achievement is a tremendous reflection of our business model with our ability to generate significant cash flows, coupled with our goal to deleverage our balance sheet by paying down the term loan prior to its maturity. During the fourth quarter, we paid a cash dividend of $0.05 per share of common stock. Additionally, our Board approved a payment of another $0.05 per share dividend to be paid on March 26 to shareholders of record as of March 12. Now I'll go over the guidance for the full-year 2024. For the full-year 2024, we expect revenue to be in the range of $380 million to $420 million. We are excited about our prospects, which include not only maintaining our tremendous renewal rates, but also to make significant gains by adding new customers in both media and semiconductor space. With that being said, we have consistently stated that it is our goal to achieve economic terms that are reflective of the proper value of the [indiscernible] technology that we have invented. As such, we will continue to remain diligent and patient to achieve these objectives on a deal-by-deal basis. As a reminder, given that we [enter into] a relatively small number of large deals, there could be volatility throughout the course of the year. With that being said, we anticipate that our 2024 revenue will be more heavily weighted towards the back half of the year more specifically, with our first quarter of 2024 being relatively consistent with that of our second quarter of 2023. We expect operating expenses to be in the range of $150 million to $160 million. The increase in operating expense is driven by three main areas: First, we will continue to invest in our R&D spending in strategic areas to strengthen our patent portfolio to help drive both short-term and long-term revenue growth. Secondly, we will see additional SG&A spending related to developing and expanding our sales efforts in new markets. Finally, our litigation expense has been relatively low over the last several years. We see this amount doubling, which will be in line with historical trends. I would like to point out that the increase in both R&D and SG&A reflects our investments to help build out and grow the platforms which will further propel our new opportunities in both the media and semiconductor markets. As we look at our operating expense trend for the year, excluding litigation expense, we expect moderate increase in each of the first two quarters of the year and then will be relatively flat thereafter. However, we see this growth as being unique to 2024 as we anticipate a more moderate increase in these areas in the future years. We expect interest expense to be in the range of $54 million to $57 million and we expect other income to be in the range of $5 million to $6 million. We expect a resulting adjusted EBITDA margin of approximately 62%. We expect the non-GAAP tax rate to remain consistent at roughly 23% for the full-year. We also expect capital expenditures to be approximately $3 million for the full-year. We anticipate cash flows from operations to be relatively consistent with the 2023 amount. With the incremental contribution coming from the shifted payment we noted during the prior quarter earnings call, related to an agreement signing Q3 2023 that has been collected in Q1 2024. Reflecting on 2023, I am incredibly proud of the tremendous progress that we have made in our first full-year as a standalone company. Through deal execution, expanding our patent portfolio and deleveraging our balance sheet, we have made great strides, and I'm excited about the prospects of 2024 and beyond. Our future is bright and the targets that we set forth that separation remain the collective focus of the entire Adeia team. That brings an end to our prepared remarks. And with that, I'd like to turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Hi. Could you first just talk about the social media customer – license that you signed, and what does that incorporate as far as their use of your patents? And how versatile is that to apply to other social media companies?
Paul Davis: Hey, Hamed. Great question. Thanks for asking that. So we're really, really happy with this deal, first of all. Like many of the social media companies that we've licensed in the past, unfortunately, we're not able to name them, but it is a large significant international social media company. In terms of the portfolio and its relevance, we've actually licensed a large portion of the social media market already. If you look in our investor deck, it's roughly about 85% of the market today. I mean that's consistent with what we had previously as well, where we've always had large penetration and our portfolio really reads on a lot of aspects of video and video playback and search and recommendation, which is key to a lot of the social media applications, not to mention our imaging portfolio as well. So all of that continues to be relevant really across most social media platforms, including the one we just licensed last quarter.
Hamed Khorsand: And then what's your intention, if I heard you right, your legal expense is doubling? I mean are you looking at more lawsuits coming up? Or are you having a snag in negotiations?
Paul Davis: Yes. Hamed, I wouldn't say there's anything particular. It's just that we are planning for it to return to more historical norms like we've mentioned before. So we do have ongoing litigation, as you know, and that contributes to it as well as some planning in the case that we need it. My hope, as always, is that we don't need it, and then that will return obviously to the bottom line if we don't. And so, our goal is always to find negotiated deals. We've been incredibly successful in doing so. In the last three years, we've signed 95-plus agreements, almost entirely without any litigation at all. And so that remains our goal. And if we need it, though, we're prepared for it.
Hamed Khorsand: And my last question was that any likelihood you would sign or resign any OTT service providers this year? And what the likelihood was for something like that?
Paul Davis: Yes. We certainly anticipate that. We built on our momentum on the deals that we got last year, certainly getting DEZn done and then getting the Starz renewal done as well. And OTT continues to be a significant area of growth for us as we move forward. And so we do anticipate success in 2024 to continue on the OTT front.
Hamed Khorsand: Okay. Thank you.
Paul Davis: Thanks, Hamed.
Operator: Your next question comes from Nicholas Zangler with Stephens. Please go ahead.
Dean Sublett: Hey, guys. This is Dean on for Nick. So in the script, you mentioned increased business development and sales activities quite a bit. Could you just elaborate on what that might look like for you guys exactly and just how far along those efforts are currently?
Keith Jones: Hey, Dean. Good to talk to you. So from where we at in separation and what we saw as a plan to expand our business growing beyond our base with Pay-TV. We had very much started that journey, of adding resources, adding subject matter expertise and making true investments from our R&D and more so from an SG&A perspective as well for those businesses. So if you take a look at our financials, you really start seeing that inflection in our financials really in Q3 of last year, where we've seen continuous kind of uptick in spend in those areas. And that will continue throughout 2024. Most notably, we'll see another uptick in Q1. We'll see another uptick in Q2, and then when we get to the back half of the year, it will be a much more modest increase. But what I'd like to say is though, in particular, in the SG&A perspective for us to make those investments is really critical to drive our revenue, in particular, for the adjacent markets in the semiconductor business as well as OTT. So those are much a little bit more shorter term place that we have, and it's a critical continued path that we're on to grow and expand our business.
Dean Sublett: Great. Thanks. That's helpful. And then just on the semi side, as you guys approach the anniversary of Western Digital and Kioxia, any incremental thoughts on the inflection of volumes for their products using your IP? Or maybe just how we should think about the variable revenue component of those deals? And that's it for me. Thanks.
Paul Davis: Great. Thanks, Dean. Appreciate the questions. So on those deals, yes, we continue to track it. They're still at fairly early stages of their product ramp, but we do anticipate to see more and more of that in 2024, and it will continue to ramp as that deal goes forward. As we mentioned last year, it's a very – those are very long-term deals for us, and we expect the revenue contribution for them to continue to increase over time.
Operator: [Operator Instructions] Seeing no further questions, I will now turn the call back to CEO, Paul Davis for any closing remarks.
Paul Davis: Thank you, operator. Last year, we met our goals and delivered solid financial results, sending us on a path toward continued success in 2024 and beyond. I want to thank our partners, employees, and stakeholders for their continued support and dedication. In March, we will be participating at the Deutsche Bank Media, Internet and Telecom Conference. We hope to see many of you there and at other investor events throughout the year. Thank you for joining us today.
Operator: This concludes today's conference call. You may now disconnect.